Operator: Good morning and welcome to the GeoPark Limited Conference Call following the results announcement for the fourth quarter ended December 31, 2015. All lines have been placed on mute to prevent any background noise. After the speaker's remarks there will be a question-and-answer session. [Operator Instructions] If you do not have a copy of the press release, please call Sard Verbinnen & Co. in New York at +1 212-687-8080 and we will have one sent to you. Alternatively, you may obtain a copy of the release at the Investor Support section on the company's corporate website at www.geo-park.com. A replay of today's call will be available by accessing the webcast in the Investor support section of the GeoPark corporate website. Before we begin, please note that certain statements contained in the results release and on this conference call are forward-looking statements rather than historical facts and are subject to risks and uncertainties that could cause actual results to differ materially from those described. With respect to such forward-looking statements the company seeks protections afforded by the Private Securities Litigation Reform Act of 1995. These risks include a variety of factors, including competitive developments and risk factors listed from time-to-time in the company's SEC reports and public releases. Those lists are intended to identify certain principle factors that could cause actual results to differ materially from those described in the forward-looking statements, but are not intended to represent a complete risk of the company’s business. All financial figures included herein were prepared in accordance with IFRS and are stated in U.S. dollars unless otherwise noted. Reserves figures correspond to PRMS standards. On the call today from GeoPark is James F. Park, Chief Executive Officer; Augusto Zubillaga, Chief Operating Officer; Andrés Ocampo, Chief Executive Officer, Pablo Ducci, Director of Capital Markets and Dolores Santamarina, Investor Manager. And now, I’ll turn the call over to Mr. James Park. Mr. Park you may begin.
James Park: Thank you and welcome everyone. We are joining this morning from Bogotá, Colombia with our Executive Team to report on and answer any questions regarding our fourth quarter and full year 2015 results. We have described throughout 2015 our decisive steps taken to adapt to and manage through the lower oil price environment and keep us on a stable forward growth path. This effort has been anchored by and again demonstrated the quality of our assets, our financial discipline and stability and the focus and experience of our teams. Going directly to our key operational results, despite a significantly reduced work and investment program during the year, we hit record high oil and gas production in the fourth quarter. Total production was up 15% to 23,062 barrels of oil equivalent per day, which was up 20% from the previous quarter. Oil production was up 19%, up 16% from the previous quarter. Gas production was up 6% up 31% from the previous quarter and worth noting that the growth production from our Colombian Llanos 34 Block operated by GeoPark, which we increased by 60% over 32,000 barrels per day up 21% from the previous quarter. We also achieved record high oil and gas reserves in 2015 as independently certified and again despite our reduced drilling program. Total net PDP, that’s proven developed producing reserves were up 25% with a reserve replacement of a 150%. Our total net proved reserves increased by 19% to 71 barrels with a reserve replacement of 211% and our total net proven and probable 2P reserves increased by 3% to 125 million barrels of oil equivalent. Our independent reserve certifiers calculated the total net present value of our proven reserves to be 891 million and the NPV of our 2P reserves to be $1.65 billion. The attractive upside potential of our big asset platform and our long-term running room was confirmed by an audit of our exploration resources estimated to be 800 million to 1.5 billion barrels of oil equivalent all in proven hydrocarbon basins. On the financial front, we beneficially used the industry downturn to beat down costs, bring out inefficiencies and improve the organization, introduce innovations, increase flexibility, reprioritize the portfolio and permanently adapt to thrive in a world of lower oil prices. Meaningful savings in 2015 included capital expenditures down 80%, production and operating cost down 34%, drilling cost down 25%, G&A cost down 18%, cash cost down 38%, all results in an over 85% of our production being cash flow positive at $25 to $30 oil prices. Following a 15% decline in realized oil and price -- oil and gas prices during 2015 our financial results showed corresponding declines, the lower oil prices also caused us to make some non-cash accounting adjustments to our assets totaling across midway $180 million of impairments and write-offs. Importantly our cash and liquidity position is firm. We have up to $230 million in available funds consisting of $83 million of cash, up to $100 million from an undrawn committed facility and approximately $37 million in uncommitted credit lines. Looking at some of our recent strategic developments, we closed and now taken up to $100 million prepayment agreement with Trafigura to improve crude oil sale prices and netbacks, reduce transportation costs and operational risk and provide us with a healthy cash cushion. As part of our continuous effort to expand in the region and build an upstream platform in Mexico, we entered into a new partnership with Grupo Alfa, a leading Conglomerate in Mexico to participate in the Mexican Bid Round for our onshore projects Our risk-balanced multi-country asset platform and the track record of our team in the region gives us first-mover advantage in the hunt for an acquisition of attractively-valued new projects and we remain active in building our inventory with our partners. Looking at the New Year, we entered 2016 in good shape and ready for both growth and volatility. We designed and built a modular and flexible work flow ramp based on oil price scenarios from $25 to $50. This price was plummeted at the beginning we could easily and immediately adjust our program and allocate capital based on the lower oil price case. The new low case, $20 million to $25 million work program provides from flat to 5% production growth. Our base case work program at a $40 oil price is cash flow neutral and provides for 10% to 15% production growth. In January we drilled a successful new cash flow in the [indiscernible] Field in Chile, which is already on production. And as part of our ongoing cost reduction efforts, our team is continuing to come up with even more innovative operating and administrative saving, allowing us to further decrease our breakeven price thresholds. Thank you and we now please invite any questions for our team and additional insight.
Operator: [Operator Instructions] We do have a question from the line of Ben Hoff of PCB Securities.
Ben Hoff: Hey guys congratulations on exceptional job of navigating difficult environment and preserving the balance sheet and the optionality going forward. I think in the past, you had mentioned the possibility of looking and hedging future production. I’m just curious if you have any thoughts to share on progress in that direction, if there is a level that you find attractive or anything else you might be willing to share on that topic?
James Park: Hi thank you for your question. Yes, we’ve looked at hedging, alternate hedging in the past. We do not have a portion of our production hedged today. For oil production, just remember that 25% of our production base, which is unaffected by the oil prices, which is for a portion of it is natural hedge. Today the proposals that we have analyzed in terms of hedging do not -- we do not see the levels in the market today that -- this sort of hedging, but the prices we cover or the curve shows an improvement when we would move to hedge at least a portion of our production. We're ready to do it, but today we do not see the levels in the market that would be serve us to do some hedging.
Ben Hoff: Do you refer to -- is there a general range in the curve that you think will be attractive? Is it $5 higher or is it substantially higher? Is there any thinking you could share along those lines?
James Park: I would say probably something in the range where we run our base. If you want to secure a portion of our cash flow product. We would analyze to those levels.
Ben Hoff: Understood. Thank you very much.
James Park: Okay. Thank you.
Operator: [Operator Instructions] At this time, there are no further questions. Are there any closing remarks?
James Park: Well, thank you all again for joining us today to discuss our fourth quarter results and our start into 2016. Please do not hesitate to contact us if you have any questions. Good day to all.
Operator: Thank you for participating in today's conference call. You may now disconnect.